Operator: Ladies and chairman, greetings and welcome to the Oncternal Therapeutics, Inc. Q3 2022 Financial Results Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Richard Vincent, Chief Financial Officer. Please go ahead, Sir.
Rich Vincent: Thank you very much, Ryan. Good afternoon everyone, and thank you for joining us today. Joining me on the call this afternoon are our President and CEO, Dr. James Breitmeyer, and our CMO, Dr. Salim Yazji. Today's call includes a business update and discussion of our results for the third quarter ended September 30, 2022, which will be followed by Q&A. Today's press release and a replay at today's call will be available on the investor relations section of Long's website for at least the next 30 days. Our 10-Q for the third quarter 2022 is also available today. Please note that certain information discussed on today's call is covered under the safe harbor provisions of the Private Securities Litigation Reform Act. We will be making forward looking statements during this call about future events such as our business and product development strategies, the timing of initiation of our pre-clinical and clinical studies, the potential for our ZILO-301 Phase 3 study to support a BLA submission, the timing of planned interim updates, the timing of our regulatory filings and submissions and expected pre-IND feedback. Our actual results could differ materially from those stated or implied by these forward looking statements due to risks and uncertainties associated with our business. These forward looking statements should be considered in conjunction with and are qualified by the cautionary statements contained in today's press release and our SEC filings, including our Form 10-K for the full year ended December 31, 2021. This call contains time sensitive information that is accurate only as of the date of this live broadcast, November 03, 2022. We undertake no obligation to revise or update any forward-looking statements to reflect events or circumstances occurring after the date of this call. With that, it is my pleasure to hand the call over to our CEO, Dr. Jim Breitmeyer.
Dr. James Breitmeyer: Thank you, Rich, and good afternoon, everyone. At Oncternal, we are advancing a focused and robust product pipeline with clinical and preclinical candidates that target cancers for patients with unmet medical needs. The third quarter of 2022 was a pivotal one for Oncternal. First, we announced that we initiated the ZILO-301 study, our Phase 3 clinical trial of zilovertamab, ibrutinib in patients with mantle cell lymphoma. As a reminder, ZILO-301 is the first registrational study for a therapeutic targeting the important ROR1 pathway, which we believe can play a key role in addressing unmet needs in multiple hematologic and solid tumor indications. Second, we announced the receipt of a Study May Proceed letter from FDA just 30 days after submitting our IND application for a Phase 12 dose escalation study of ONCT-808, our lead autologous CAR-T product candidate targeting ROR1. This study will be conducted in the US in patients with aggressive B-cell lymphoma, including those who have failed previous CD19 CAR-T treatment, which represents a significant medical unmet need. Also, this morning we announced that results from our ongoing Phase 12 clinical trial with zilovertamab plus ibrutinib in patients with mantle cell lymphoma or chronic lymphocytic leukemia were accepted as an oral presentation at the American Society of Hematology Annual Meeting in New Orleans in December of this year. We are very honored by this selection and we look forward to presenting updated study results including extending the encouraging progression-free survival data for patients with CLL and P53 alterations receiving zilovertamab and ibrutinib that we first presented at ASCO 2022. Finally, ONCT-534, our lead candidate for the dual action androgen receptor inhibitor or DAR program continues to advance towards an IND filing and we expect to have pre-IND feedback from the FDA in December of this year. We are optimistic that ONCT-534 may be a differentiated and novel treatment alternative for patients with advanced prostate cancer, as we believe it interacts with both the terminal domain and the ligand binding domain of the androgen receptor inhibiting it function and inducing its degradation. Preclinical data has shown that ONCT-534 exerts anti-tumor activity in clinically relevant treatment resistant prostate cancer models, including those with AR amplification, enzalutamide resistance, or androgen receptor splice variants such as ARV7, each of which represents a significant unmet medical need for patients with prostate cancer. On the corporate front, we continue our focus on execution as we remain vigilant on our cash and resource usage, and we estimate we can fund our operations into the first half of 2024 with funds currently available. Let me now turn the call over to Ontario's CMO, Salim Yazji to discuss the status of our Phase 3 study 301 and the plans for the first inpatient study of first inpatient study, I'm sorry, of our autologous CAR-T ONCT-808. Salim?
Dr. Salim Yazji: Thank you, Jim. Good afternoon, everyone. We are very excited that our Phase 3 study ZILO-301 is now underway. We are focusing on activating sites around the world as we are estimating, we will open between 50 to a 100 sites to meet our enrollment target. We believe sites outside of United States will play a key role in achieving this goal, and we expect to open the first site in these regions in the first quarter of next year. We are also very excited to announce that our abstract from the ongoing Phase 12 study 7001 was accepted for all our presentation at the upcoming ASH this year in December. Now turning to ONCT-808, the lead candidate of our autologous ROR1 targeting CAR-T program. We are excited that our IND submission was cleared by the FDA in 30 days, and I would like to thanks our partners, Lentigen, Miltenyi Biotec and the Dana-Farber Cancer Institute and its cell manipulation core facility for their support in helping us achieving this important milestone. The ONCT-808 Phase 12 trial will be a three plus three dose escalation study in patients with aggressive cell lymphoma, including those that have failed previous CAR-T treatment, and both safety and efficacy results will be taken into account to select the recommended Phase 2 dose. After the initial dose escalation, additional dose exploration and the evidence of efficacy will be evaluated in the expansion cohorts, and we will -- we expect to be able to report on key efficacy, safety and PK endpoints. We expect to initiate the Phase 12 study for our ONCT-808 in the first quarter of 2023 and expect to share initial data later next year. I will now turn the call over to our CFO, Rich Vincent, to review our financial results and upcoming milestones. Rich?
Rich Vincent: Thank you, Salim. Our revenue is derived from two research and development grants from the National Institutes of Health or NIH. In the third quarter of 2021, the NIH awarded the company two research and development grants for up to $2.2 million to support preclinical activities for the company's ONCT-534 and ONCT-216 programs. Our grant revenue for the third quarter ended September 30, 2022 was $0.4 million. Our total operating expenses for the third quarter ending September 30, 2022 was $11.7 million, including $2 million in non-cash stock based compensation expense. Research and development expenses totaled $8.4 million and general and administrative expenses totaled $3.3 million. Net loss for the second quarter was $11.1 million or a loss of $0.21 per share basic and diluted. Cash flows from financing activities through the nine months ended September 30, 2022 pulled $7.6 million, which was generated from the issuance of approximately $6.1 million shares of common stock under our ATM program with Jeffries as our sales agent. As of September 30, 2022, we had $70.6 million in cash from cash equivalence and no debt. We believe these funds will be sufficient to support our planned operating activities into the first half of 2024. We have and will continue to man our cash and all other resources deliberately. As of September 30, 2022, we had $55.5 million shares of common stock outstanding. With perspective to upcoming milestones for our zilovertamab program, we expect to open sites outside of the US for our global registrational Phase 3 study, Zillow 301 in the first quarter of 2023, and to provide an interim clinical data update from our Phase 12 study of zilovertamab, plus ibrutinib in patients with MCL and CLL as an oral presentation at the 64th American Society of Hematology Annual Meeting and Exposition in December, 2022. For ONCT-808, our lead autologous ROR1 CAR-T cell therapy candidate, we plan to initiate our Phase 12 study in patients with aggressive B-cell lymphoma in the first quarter of 2023 and to present an initial clinical data readout in 2023. For ONCT-534, our lead DAARI product candidate, we expect to receive pre-IND feedback from the US FDA in December of 2022. With that, I will turn the call back over to Jim.
Dr. James Breitmeyer: Thank you, Rich. This past quarter, the internal team continue to meet or exceed its goals. We are excited to have one phase three program active and a second exciting phase one clinical program for ONCT-808 opening, cementing our leadership in the promising RO one space, along with a very promising asset for patients with prostate cancer which is in late i n d enabling studies. We plan to continue to use our capital and resources efficiently as we have, and we will advance our focused pipeline towards significant value inflection points that we believe will make a difference for patients suffering from hematologic malignancies and prostate cancer. We look forward to key events in the coming quarters, especially the continued rollout of our global phase three study and advancing our prostate cancer program toward the clinic. Thank you for joining us today, and we look forward to updating you during upcoming medical and banking conferences. With that, I will turn things back to Ryan for the Q&A portion of this afternoon's call.
Operator: [Operator instructions] Our first question comes from the line of Hartaj Singh from Oppenheimer and Company. Please go ahead.
Hartaj Singh: Great. Thanks for the updates, Jim and Rich and everyone and just a couple of questions. One, with the announcement now for ONCT-808 going into clinical trials, just a little bit more color around it around B-cell lymphoma dose escalation, dose expansion, with the three plus threes that sort of on a monthly basis, the CAR-T product, I imagine there's a vein-to-vein time. Just, what could be the centers just some more meat on those bones, Jim. And then I just got a couple of follow up questions after that.
Dr. James Breitmeyer: Thank you, Hartaj. So we are we're pretty excited about our manufacturing process and we have, we've selected an automated bench top processing system called the Prodigy that I, that a lot of people are getting excited about, and we have found that we get very good yields of exactly the kind of T-cell that we're hoping for in in an eight day process with normal volunteer cells. Now, of course, we don't have experience yet with harvesting and making CAR-T cells from patients, but if we, if we duplicate our pre-clinical work here, we would have eight days of manufacturing, and then we're getting our product release as short as possible. So we'll, we'll be somewhere in the 14 day to 21 day range for vein-to-vein, which is pretty good for a Phase 1 study. And we will be enrolling patients who have either failed CAR-T therapy previously or not candidates or refused the available CD-19 CAR-Ts.
Hartaj Singh: Yep. No, that's great. Jim. And Jim, you zilovertamab is going CLL, our ROR1 is our target very well. What other potential cancers could you envision, with the with the autologous CAR-T product in the future?
Dr. James Breitmeyer: It's a great question. And so our, our, our initial thought our first additional candidate we think could be CLL and there are there, there's been some work in the CLL field with CAR T but not as much as there has been in the aggressive lymphomas. And RO one is very highly expressed and essential to the biology of CLL. Multiple myeloma is another possibility, AML, another possibility. So there's really quite a few liquid tumor options available. And then we intend to expand into solid tumors, probably with the addition of some co-treatments or some additional technology in the CAR and we are particularly excited about lung cancer and prostate cancer for ROR1 expressing targets.
Hartaj Singh: Great. Thank you, Jim. And that, just my last question there is you kind of foreshadow a little bit, which is that, you've mentioned previously that ROR1 is a good target for combining with other modalities. Also zilovertamab, you're combined with ibrutinib and seeing some good, even a decrease in toxicity of BTK inhibition. Could you do that with the autologous with ONCT-808 is that possible and also then move up in earlier lines of therapy?
Dr. James Breitmeyer: Yeah, I think it combining, combining the antibody with the CAR T could be tricky because the antibody might block the axis of the CAR-T to the RO one on the cell surface. So, so you could do it with a you could do it with a different raw one binding antibody. We have, we have a couple of those in the freezer. But there's also, there's, there's some interesting work being done combining other agents with CAR-T. We've taken particular note of studies that are adding ibrutinib to CAR-T therapy. Not only would the ibrutinib have an effect on the tumor but it also has an interesting effect on T cells itself through a form of tyrosine kinase that's expressed in human T cells.
Hartaj Singh: Great. Thank you, Jim. I'll jump back in the queue.
Dr. James Breitmeyer: Thank you, Hartaj. Always nice to catch up with you.
Operator: Thank you. Our next question comes from the line of Carl Byrnes from Northland Capital Markets. Please go ahead.
Carl Byrnes: Thanks for the question and congratulations on your progress with three candidates advancing here. In addition to the prepared comments that you made do you have any updates with respect to the investigator sponsored studies? I know those are largely out of your control, and then I have a follow up as well. Thanks,
Dr. James Breitmeyer: Salim. Go ahead with about the ISDs.
Dr. Salim Yazji: Yes, sure. So we actually, we have an active IST that just recently opened at U C S D using row one and, and combination with dochy toil for patient with castration resistant metastatic prostate cancer. And so, so far actually the IRB we have IRB approval, but we don't have any patients yet. So hopefully we get patients actually soon. But as you said this is out of our control. It's an investigative responsive study.
Carl Byrnes: Great, thank you. And then obviously there's a lot of excitement around all the programs, but just focusing a bit on 5 34, what might be a realistic expectation in terms of a timeline into the clinic and when there might be first aid on that program? Thanks
Dr. James Breitmeyer: Thank you, Carl. I'll start with that. And so we're we haven't been guiding to that yet. And we had an interesting COVID related experience where the type of beagle dog that is used in toxicology studies for prostate cancer drugs was suddenly unavailable. And so we think it was, we think what happened was that the breeders stopped breeding during COVID and then didn't, didn't catch up. And so the team has worked around that and the, and the final toxicology studies are getting underway right now. And so we are optimistic that we're going to have, we're going to have some, some back and forth with the FDA, a virtual pre-IND meeting in the fourth quarter, and then intend to get the IND in and the study open just as soon as we can. So, and Salim, you might, you might mention some of the reactions we got from prostate cancer experts at the Prostate Cancer Foundation meeting.
Dr. Salim Yazji: Yeah, absolutely, Jim. So last week actually, we were in the Prostate Cancer Foundation meeting where we met some of our advisors and key opinion leaders that's very well known in awards for to be a prostate cancer experts. And, we went through the program and through the synopsis and what we're trying to do, and there was excitement around what we're trying to do and also around the program from you know, people who are very well known as, as one of the top notch key opinion leader in the positive cancers. So that's great. It also seems that given the urgent on that medical need for the indication that it would be very likely that it would be potential breakthrough with priority review status candidate. I know you probably don't want to comment on that at the moment, but very exciting program. Thanks.
Operator: Thank you. Our next question comes from the line of Robert Burns from H.C. Wainwright. Please go ahead.
Robert Burns: Hey guys, thanks for taking my questions and congrats on the quarter. I guess a little color around sort of what you view as the benchmark for ONCT-808 in that CD-19 directed CAR-T experience patient population. And then second question, obviously, we saw the data from VelosBio's VLS-101 in 2020 with that 80% objective response rate in DLBCL. I was just curious whether those five patients, did they receive CD19 directed CAR-T therapy in that dataset?
Dr. James Breitmeyer: So, Rob, can you repeat the second question? Which, patients specifically?
Robert Burns: Yeah. Remember the dataset for VLS 101 at ASH 2020 in DLBCL, there were five patients. They had the 80% objective response rate. I was just curious whether those patients had CD-19 directed CAR-T therapy prior to receiving DLBCL. I'm just trying to get a sense of what the benchmark is going to be in the CD-19 post CD-19 CAR-T patient population?
Dr. James Breitmeyer: Yeah, that's a great question. And so I'm stressing my memory here to remember that first that first public presentation of data. I do know, I do recall that when the data from the VS 1 0 1 program was updated at the ASCO meeting, that the response rate in DLBCL has was lower, I think it was closer to 40% or 50% in a larger patient set while you're right, it had been four outta five patients or 80% the six months before. I don't, I think all of those patients were BTK experienced and I don't recall if they were also CAR-T, but to get, to answer your question, we do think that once the once, once you pass CD 19 treatment, the progression free survival and overall survival are very low, and both measured in months. And so we believe that a significant clinical response rate will, will be that people will pay attention to it, and that it will support going forward with the program exactly what that percentage is. It's a little hard to predict because of course we'll be a will be exploring various doses at the same time we're getting a look at the potential EF efficacy outcomes.
Operator: Thank you. Our next question comes from the line of Kenny Storch from BTIG. Please go ahead.
Kenny Storch: Hey, internal team, this is Kenny on for Cary. Thanks for taking my question. I guess maybe to drill down on the ZILO-301 trial, I'd love to maybe get an update in terms of, you know, how many clinical trial sites are up and running, and if you could share any color in terms of what you're seeing you know, for early enrollment trends, it'd be great to sort of get a sense of, you know, the pacing of enrollment there. Thanks. I'll turn, turn you over to Salim.
Dr. Salim Yazji: Yeah, thank you, Kenny. I think at this moment we are not guiding for such a you know operational details. As, we're trying to do, everything's possible to open those sites and then get enrollment goal met, so.
Kenny Storch: Got it. Thank you. And then, I guess just one quick follow so on the 302 study, is that a study that you plan to conduct in parallel and at the same sites, or is it mostly going to be a separate trial based on patients that don't screen into the 301 trial? Thanks.
Dr. James Breitmeyer: Yeah, so the initial thoughts this says would be actually as a for the patients who enrolled in 301 and trying to capture those early progressor during the monotherapy Bruin.
Operator: Thank you ladies and chairman, we have reached the end of the question and answer session, and now I would like to turn the conference over to Dr. James Breitmeyer, President and CEO for closing comments.
Dr. James Breitmeyer: Thank you, Ryan. And I would like to thank everybody for your time and interest in joining us today for our third quarter update on our, our business and earnings. We appreciate your interest in the company and look forward to staying in touch with you. We hope you all do well. And with that, I will say thank you and goodbye.
Operator: Thank you, sir. The conference has now concluded. Thank you for your participation. You may now disconnect your lines.